Operator: Good morning, and welcome to the Hyatt Second Quarter 2023 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers presentation, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the call over to Joan Bottarini, Chief Financial Officer. Thank you. Please go ahead. 
Joan Bottarini: Thank you, and good morning. Welcome to Hyatt's Second Quarter 2023 Earnings Call. Before we begin, I'd like to take the opportunity to welcome Adam Rohman who is now leading our Investor Relations and Global Financial Planning and Analysis teams. Adam has been with Hyatt for 19 years and has deep knowledge of the company most recently overseeing Hyatt's global asset management team. I'd also like to recognize Noah Hoppe who over the past three years has been instrumental leading Hyatt's Investor Relations and global FP&A teams. I'm excited to share that Noah has transitioned to a new role joining our transactions team and supporting our growth strategy. With that I'll turn the call over to Adam. 
Adam Rohman: Thank you for the warm welcome Joan. Joining me on today's call are Mark Hoplamazian, Hyatt's President and Chief Executive Officer; and Joan Bottarini, Hyatt's Chief Financial Officer. Before we get started, I would like to remind everyone that our comments today will include forward-looking statements under federal securities laws. These statements are subject to numerous risks and uncertainties as described in our annual report on Form 10-K quarterly reports on Form 10-Q and other SEC filings. These risks could cause our actual results to differ materially from those expressed in or implied by our comments. Forward-looking statements in the earnings release that we issued today along with the comments on this call are made only as of today and will not be updated as actual events unfold. In addition, you can find a reconciliation of non-GAAP financial measures referred to in today's remarks on our website at hyatt.com under the Financial Reporting section of our Investor Relations link and in this morning's earnings release. An archive of this call will be available on our website for 90 days. With that I'll turn it over to Mark. 
Mark Hoplamazian: Thanks, Adam and it's great to have you in your new role. 
Adam Rohman: Thank you. 
Mark Hoplamazian: Good morning, everyone. For the fifth consecutive quarter, we posted record results demonstrating our unique positioning and continued momentum. In the second quarter, adjusted EBITDA plus net deferrals and net finance contracts was up 7% compared to the second quarter of 2022 and up 48% compared to the second quarter of 2019. This is an especially notable achievement when you consider that we've sold $2.3 billion in real estate net of acquisitions since the beginning of 2019. Our ongoing transformation has significant momentum and the second quarter results continue to reinforce our confidence in executing the strategy we outlined at our Investor Day in May. During our Investor Day we highlighted Hyatt's transformation positioning the company as the preferred brand for high-end guests in each segment that we serve, while creating significant value for shareholders. Since the beginning of 2017, we've driven shareholder value by realizing proceeds of $3.8 billion from the sale of owned hotel real estate, net of acquisitions at a multiple greater than 16 times, acquired $3.7 billion of asset-light and fee-based platforms at a multiple of approximately 8x and returned over $2 billion to shareholders through common stock repurchases and dividends. We've experienced meaningful growth doubling our luxury rooms, tripling our resort rooms and quadrupling our lifestyle rooms. As a result, today we are more fee-based and asset-light with a much higher conversion of reported earnings to cash flow. We anticipate that substantial free cash flow from our increased asset-light earnings mix. In addition, the proceeds from asset dispositions will enable us to invest in growth, return capital to shareholders and maintain our investment-grade profile. Through the disciplined execution of our strategy we have outlined a path where we expect to achieve $750 million in free cash flow and an 80% asset-light earnings mix by 2025. Our asset-light fee-driven model combined with industry-leading net rooms growth demonstrates our earnings strength and durability. We also expect to significantly reduce our capital expenditures to a run rate of approximately $100 million by 2025. The journey to transform our earnings profile is well underway and we are confident in our ability to execute the strategy and achieve the long-term projections that we outlined at our Investor Day. The successful execution of our strategy has led to a significant growth of the World of Hyatt program, which added seven million new members in the past 12 months, an increase of 20%. And we continue to see strong enrollments at our ALG properties that have signed up over 650,000 new loyalty members since the launch in May of 2022. Additionally, Legacy Hyatt system-wide rolled of Hyatt room penetration increased 140 basis points in the first half of 2023 compared to the same period in 2022. To further deepen loyalty with our existing World of Hyatt members and attract new members, we announced several key initiatives this quarter. First, the announcement of Hyatt Studios our first Upper midscale brand in the Americas has been well received by our ownership community. Letters of interest for over 100 hotels have begun converting to signed contracts and we expect the first property to open in the second half of 2024. Second we completed the acquisition of Mr & Mrs Smith a global travel platform that enhances our luxury offerings and provides access to a collection of more than 1500 boutique and luxury properties across the globe with the concentration in Western Europe. We have seen the power of leveraging an effective distribution platform in a complementary segment with ALG vacations and we plan to enhance the value proposition for the owners of hotels represented on the Mr & Mrs Smith platform, while also expanding the choices for our members and guests. Third we successfully integrated Lindner Hotels in Europe and Dream Hotel Group into the World of Hyatt loyalty programs strengthening our lifestyle portfolio. The speed of integration of these two platforms enables us to deliver value quickly for our owners and guests. These strategic initiatives demonstrate our commitment to deliver unique experiences, expand our global presence and strengthen our role of Hyatt loyalty program. Moving to our latest business trends. I'm pleased to share the comparable system-wide RevPAR for the second quarter increased 15% compared to the second quarter of 2022 and 8% compared to the same period in 2019 for the same set of comparable properties. Average rates increased 5% compared to a very robust second quarter of 2022 and are 15% higher compared to the second quarter of 2019 for the same set of comparable hotels on a constant currency basis respectively. Additionally, occupancy contributed meaningfully to RevPAR growth in the second quarter increasing 660 basis points compared to the same period last year. The second quarter reached a post-pandemic record with absolute occupancy of 72%, which is below 2019 levels by 450 basis points. Average daily rates remain strong and we believe occupancy gains will continue to drive future growth. Turning to our customers. Leisure transient revenue growth sustained in the second quarter increasing 7% compared to the second quarter of last year. These results are particularly impressive considering the pent-up demand that drove very strong results in the second and third quarter of 2022 due to Omicron's impact. While the year-over-year growth has moderated compared with the first quarter of this year, overall results in the second quarter continue to be very strong as we anticipated. Compared to the second quarter of 2019, leisure transient revenue increased by 26% in the second quarter, a 200 basis point improvement from the growth that we realized in the first quarter of this year compared to the -- continue to prioritize travel. We're also pleased to see the recovery in business transient revenue continuing to gain momentum up 36% compared to the second quarter of 2022 and 86% recovered to the second quarter of 2019. Led by large corporate accounts in the Americas, the recovery accelerated during the quarter with May and June 90% recovered when compared to the same months in 2019. Group revenue in the quarter was up 14% compared to the second quarter -- 2019 even though room night demand was down 12%. From a geographic perspective, we continue to see recovery momentum in Asia Pacific and strong results in the rest of the world. Greater China RevPAR surpassed pre-pandemic levels for the first time up 6% in the second quarter. Markets traditionally dependent on international inbound travel integrator China like Shanghai and Shenzhen were below second quarter 2019 levels, but have shown meaningful improvement compared to the first quarter of this year. Outside of Greater China, performance in Europe was outstanding as RevPAR increased 23% compared to the second quarter of 2022 and was up 30% compared to the same period in 2019. Finally, RevPAR in the United States remains resilient, increasing 4% compared to the second quarter of 2022 and remains above 2019 levels. Turning to ALG. Comparable net package RevPAR increased -- 18% in the first half of 2023. This quarter marks the one-year anniversary of the introduction of the World of Hyatt at ALG Resorts in the Americas, and we are thrilled to see strong adoption by our world of Hyatt members. In the Americas, World of Hyatt members accounted for approximately 22% of room nights at ALG Resorts during the first half of the year. As we look to the rest of 2023, we expect net package RevPAR growth to moderate in the second half of the year, relative to the second quarter, as a result of lapping extremely strong results in the second half of 2022 due to the condensed leisure travel season last year. Gross package revenue for the second half of 2023 is pacing 8% ahead of 2022. Turning to Group Pace for the Americas full service managed properties. Group revenue was up 31% in the first half of 2023, and Pace for the second half of 2023 is up 8% compared to the same periods in 2022. We had an extremely strong quarter booking nearly $500 million in the Group business for all future periods, an increase of 36% to the second quarter of 2022 and this was the highest Group production quarter since the first quarter of 2019. We're seeing the booking window lengthening, with approximately two-thirds of group production booked for dates beyond 2023 setting us up for strong opportunities to yield rates into the future. For 2024, specifically, group pace is up 10% with average rates and room nights each up approximately 5% and I'm extremely excited about the future, as group room night demand continues to recover back to 2019 levels. The combination of group production trends and 2024 Group Pace, reinforces our confidence to achieve the illustrative RevPAR growth range that we provided during our Investor Day in May. In summary -- we're benefiting from the tailwinds from Greater China sustained demand for leisure travel, recovery of business transient travel and strong sustained demand for groups and events. We believe the combination of our commercial platforms and best-in-class hotel teams is driving higher loyalty preference, hotel profits and as a result, increasing owner preference. The growth in our footprint and pipeline is the direct outcome of owners preferring our brands. During the second quarter, we achieved an impressive 6.9% net rooms growth over the trailing 12-month period. Notably, conversion opportunities remained a significant contributor to our net rooms growth this quarter. We introduced the Impression by Secrets brand, to the inclusive collection this quarter, an ultra luxury brand that further solidifies our position, as the largest manager of luxury all-inclusive resorts in the world, including the newly opened Impression Isla Mujeres by Secrets in Mexico. For our Legacy Hyatt portfolio, we expanded our presence in key cities like London and Mexico City, while also adding luxury offerings with the openings of Andaz Nanjing Hexi in China and the Grand Hyatt La Manga Club Golf & Spa in Spain. Our pipeline reached a new record of 119,000 rooms representing a 5% increase year-over-year and up sequentially from the first quarter, with new signings outpacing new openings. The expansion of our pipeline and ability to convert existing hotels to our brand gives us confidence we will continue to realize outsized growth into the future.  I want to provide an update on our real estate transactions. We continue to make progress on two assets that we currently have on the market for sale and we expect to be under contract for one asset and select a buyer for the other asset soon. We remain focused on realizing the most attractive valuations and securing durable long-term management or franchise agreements. And we continue to remain highly confident in our ability to achieve our $2 billion sell-down commitment by the end of 2024. Lastly, I'm pleased to report continued to remain progress on World of Care, which drives alignment across Hyatt and how we advance care for the planet people and responsible business to support thriving destinations around the world. We just published our 2022 World of Care report this week and our global teams are advancing care for the planet through continued actions towards our 2030 environmental goals that address carbon reduction, water conservation and responsible sourcing. Our hotel teams are bringing innovative solutions to meet these goals such as our 2022 Food Waste Reduction pilot program and adoption of 100% Renewable Electricity in US Hyatt-owned hotels. In connection with advancing care for people, we believe that our teams should reflect the diversity and experiences of the communities in which Hyatt operates hotels. And we continue to support that diversity in leadership positions across our workforce. We have also exceeded our 2025 goal for expansion of our spend with diverse suppliers and identified new opportunities to support businesses in underinvested communities through efforts like holding deposits at minority-owned banks and helping to expand suppliers businesses in several markets. The creativity and passion of our teams is powering our success in meeting our environmental and social sustainability goals and is one of the main reasons why, institutional investor recognized World of Care as a top three ESG program in 2023 in the mid-cap gaming and lodging category. In closing, I'm very pleased with another quarter of record results. I want to extend my gratitude to the entire Hyatt family for their dedication in executing our strategy and positioning Hyatt as the preferred brand for colleagues, guests, customers and owners. Our asset-light earnings mix is yielding strong free cash flow, and we remain confident in our ability to drive exceptional results for all our stakeholders. Joan, will now provide more details on our operating results. Joan, over to you.
Joan Bottarini: Thank you, Mark. This morning, we reported second quarter net income attributable to Hyatt of $68 million and diluted earnings per share of $0.63. As Mark mentioned, this was a record second quarter with adjusted EBITDA of $273 million net deferrals of $28 million and net finance contracts of $14 million. Excluding the impact of transactions, results were up 11% compared to the second quarter of 2022. In the quarter we generated a company record of total management franchise license and other fees in the quarter, of $248 million, an increase of 21% from the second quarter of 2022 driven by the continued success of our asset-light transformation and the continued global recovery we've experienced in the quarter. As a result of our expansion in fee revenue our asset-light earnings mix relative to real estate earnings was 76% for the quarter. Turning to our legacy Hyatt results, adjusted EBITDA was $224 million for the quarter which is approximately 17% higher than the second quarter of 2022, adjusted for currency and the net impact of transactions. Our management and franchising businesses benefited from our larger system size and more fully recovered RevPAR environment. As Mark mentioned, our system-wide RevPAR in the second quarter was up 15% compared to the same period in 2022, or up 8% compared to the second quarter of 2019, fueled by strong rates and meaningful occupancy growth. And we are thrilled to see fully recovered RevPAR in the Asia Pacific region relative to the second quarter of 2019. Notably the region nearly doubled fee revenue to $42 million for the quarter, compared to the same period last year with Greater China accounting for over 40% of the region's fees in the quarter. We're encouraged by the momentum in the region and believe it will continue to serve as a tailwind as international and regional flight capacity increases in the second half of the year. Our Americas and EMEA regions continued their momentum with strong adjusted EBITDA in the quarter relative to 2022. The strength in these segments is driven by a powerful combination of the sustained demand of leisure travel, momentum from business transient travel and strong performance from group business. Moving to our owned and leased segment. When adjusted for the net impact of transactions, adjusted EBITDA for the second quarter decreased 2%, when compared to the second quarter of 2022, and increased 15% when compared to the second quarter of 2019. The recovery in group and business transient travel coupled with sustained demand for leisure travel led to impressive RevPAR growth of 10% compared to the second quarter of 2022. Our operational and commercial teams continue to do an excellent job driving strong top line results with rates exceeding 4% compared to 2022. It's notable that second quarter comparable owned and leased margins remained strong at 27%, up nearly 300 basis points from the second quarter of 2019 for the same set of properties. Turning to ALG. Adjusted EBITDA was $49 million. Net deferrals were $28 million and net finance contracts were $14 million. Excluding the impact of foreign currency and onetime strategic investments, ALG's results increased 7% compared to the second quarter of 2022. Three key areas drove financial results. First, ALG comparable net package RevPAR increased 8% in the quarter relative to the second quarter of 2022. Total fees remained flat at $36 million for the quarter due to headwinds from the Mexican peso, which strengthened 17% against the U.S. dollar in the last 12 months. It's important to note that ALG's hotel revenues are booked and paid in U.S. dollars with no FX impact on base management fees. However, most property expenses are denominated in Mexican pesos and are affected by FX fluctuations, impacting hotel gross operating profits and the related incentive fees we earn. Excluding foreign exchange impact on incentive fees, total fees increased 7% in the quarter. Second, approximately 9,000 membership contracts were signed for ALG's Unlimited Vacation Club in the quarter, exceeding second quarter 2022 levels by 6% with an increase in the average contract price sold. UVC now has approximately 140,000 active members as it continues to expand at an impressive pace. Third, ALG Vacations continues to generate solid results, driven by a transformed business model and strong unit pricing, leading to revenue growth of 7%. In the quarter, there were approximately 740,000 guest departures and the business realized a margin of approximately 18% consistent with full year stabilized margin expectations we've previously shared. As we look at the second half of 2023, while we recognize the Mexican peso could continue to be a headwind on operating costs and incentive fees, we're optimistic about the future given sustained strength of leisure travel demand and a favorable pricing environment. I'd also like to provide an update on our strong cash and liquidity position. As of June 30 2023, our total liquidity of approximately $2.4 billion, included $906 million of cash, cash equivalents and short-term investments and approximately $1.5 billion in borrowing capacity on our revolving credit facility. At the end of the quarter, we reported approximately $3.1 billion of debt outstanding. The only near-term debt maturity is the 1.3% notes due on October 1, 2023 in the amount of $638 million. On July 6, we issued $600 million in notes due in 2027, the proceeds of which will be used together with cash on hand to repay the 2023 notes by maturity. Record operating performance and asset-light growth are contributing to our strong free cash flow. In the second quarter, we repurchased $108 million of Class A common shares and we have approximately $1.4 billion remaining under our share repurchase authorization. We remain committed to an investment-grade profile and our balance sheet is strong. Finally, I'd like to share some additional insights into our full year 2023 outlook and capital returns to shareholders. We are updating our full year 2023 system-wide RevPAR growth expectations to a range of 14% to 16%, compared to 2022 on a constant currency basis driven by the recovery in Asia Pacific and improving demand in group and business transient we continue to anticipate RevPAR growth will be in the mid to high single digits in the back half of the year. We are reaffirming our expectations of net rooms growth of approximately 6% for the full year of 2023, driven by our strong pipeline and our ability to execute on conversion opportunities. We are updating our net income to approximately $215 million. And consistent with our estimates from Investor Day we maintain our guidance of adjusted EBITDA plus net deferrals and net finance contracts in the range of $1.2 billion to $1.25 billion with $1.225 billion at the midpoint. Additionally, we are reaffirming free cash flow of approximately $550 million for full year 2023, showing meaningful expected growth compared to 2022. We expect our adjusted SG&A to be in the approximate range of $485 million to $495 million in 2023 inclusive of approximately $20 million of one-time integration expenses associated with carryover projects from 2022 for ALG and the acquisition of Dream Hotel Group and Mr & Mrs Smith. We continue to expect capital expenditures to be approximately $200 million, including investments in ALG and the transformative investment in the Hyatt Regency Irvine renovation, which accounts for nearly one-quarter of 2023 capital expenditures. As a reminder, the Hyatt Regency Irvine will reopen this month and we will have fully renovated rooms and food and beverage offerings coming online through the rest of 2023 and we're excited for a full grant opening in early 2024. And finally, our full year outlook for capital returns to shareholders is approximately $500 million inclusive of share repurchases and dividends. In closing our second quarter results demonstrate the effectiveness of our strategy, underscores the strength of our brands and highlights the performance of our talented colleagues around the world. We drove record total fee revenue through strong system-wide RevPAR growth and continued our industry-leading net rooms growth. Looking ahead our optimism is fueled by several factors. Further recovery in Asia, continued strength of leisure travel, forward bookings for group business and a record pipeline. We are excited for the future growth opportunities that build upon our successful transformation, unlock value through the sale of our real estate and continue to deliver shareholder value through an expansion of our asset-light earnings mix and free cash flow. Thank you. And with that I'll turn it back to our operator for Q&A.
Operator: Thank you. [Operator Instructions] Our first question comes from Joseph Greff from JPMorgan. Please go ahead. Your line is open.
Mark Hoplamazian: Joe, are you there? You maybe on mute. 
Joseph Greff: Can you hear me now?
Mark Hoplamazian: We got you now Joe. Thank you.
Joseph Greff: Thank you for taking my question. Mark, you had mentioned that the World of Hyatt accounted for 22% of room nights in the first half of this year for ALG. What you benchmark that against medium term in terms of percentage of occupancy at the ALG portfolio?
Mark Hoplamazian: Yeah. I think there's significant room for expansion. I think in the foreseeable future, we see the potential to increase that by about 1,000 basis points. And the reference point that we've got is other all-inclusive resorts that we've operated for a longer period of time. The one thing that I think hasn't been realized in its fullest potential yet is MICE business, sorry, group business that we can pull into more of these properties. There are considerations I would say with occasional concerns around safety and security, but the more exposure that we get for meeting planners, travel advisers into our properties in Riviera Maya Cancun especially, the more comfortable that we see people are getting especially on the transient side. And I think group will follow.
Joseph Greff: Great. And then just a follow-up on the real estate transaction environment and we heard you loudly and clearly on the progress made on the two assets. How are you thinking about other assets being market and being brought to the market? And maybe how has that evolved just given the current conditions in the transaction financing environment? 
Mark Hoplamazian: Yes. Honestly we've not been aggressively pursuing marketing efforts for other assets at this point. We do have a couple of discussions underway with respect to reverse inquiries on specific assets that we own. And we will continue those conversations. I think at least in one or two cases these are relatively bigger hotels and/or maybe more unique hotels that sometimes take some time to put to assemble a deal because they involve other development opportunities on site and the like. So we've got a I would say a constant dialogue underway but it's just not the -- in the context of an active marketing initiative. And the principal reason we've decided to wait is --well reasons there are two. The first is it's a bit pp it's a more challenging environment right now primarily because of financing. I would say that's more much more acute in the United States than it is elsewhere because debt availability and pricing of debt in Europe is still quite reasonable and relative to historic levels. And the second reason is because we're getting paid a lot to wait. Our own and lease results continue to be very strong. I think our -- the pace of growth given how extraordinary our recovery was in the second and third quarter of last year has come down. But we have every confidence that we will end the year. We as you know have predicted that we will end up being able to sustain 100 to 300 basis point increase in margins and we think we'll end this year at the top end of that range. So we feel really good about the progression of earnings and margin expansion. And so in many ways I don't think even with higher cap rates in the U.S. the value expectations that we've got in terms of dollars and cents associated with sales of hotels is not going to we don't think we're going to realize any degradation in that. It might be the result of higher earnings and lower cap rates or sorry higher cap rates lower multiples. But it's really hard. And I'm certainly the last one who's going to ever predict the direction of interest rates so I'm not going to go there. 
Joseph Greff: Great. And then one final question maybe this is for Joan. When you think about your implied second half EBITDA adjusted EBITDA adjusted economic EBITDA guidance how do you think about the cadence in 3Q and 4Q just consensus estimates or at least reasonably aligned with how you're viewing 3Q and 4Q? 
Joan Bottarini: Sure, Joe, maybe I'll just start with our guidance at the midpoint the $1.225 billion that we provided at the midpoint. And through the first half of the year we've generated a little bit above 50% of that amount. As you look at the second half of the year I just would probably break down what would be helpful is between Hyatt legacy and ALG. And on the legacy business we've seen seasonality typically be where Hyatt legacy results are strongest in the second quarter and the fourth quarter. So that's what we've seen from the business. Some of that is driven by group activity in those quarters. And in the ALG business we have been as you know we have been now talking about experiencing more normalized demand patterns in the ALG business. So as we look at that segment, and we look at the normalized pattern of seasonality the first quarter is typically the strongest quarter and we had very strong results in the first quarter with exceptional pricing and flow-through. In the second quarter we saw some normalized demand patterns but still very strong top line. And as I noted in my prepared remarks results increased 7% excluding some FX headwinds and some investments that we made. So as we look at ALG then for second half what I mentioned earlier is this normalization into Q3 and Q4 where Q1 is typically the strongest. And as we look at the subsequent quarters after the first quarter the normalization of demand has been what we've experienced on a historical basis before these sort of disrupted periods through Omicron post our acquisition. So, for the full year, we expect the ALG segment to be normalizing even further quarter-over-quarter. So, that's a summary of kind of how we see the seasonality between the two segments. And as we look at -- we've reaffirmed our midpoint, because we feel really good about the rest of the year, given the sustained leisure travel demand that we're seeing and the group business that Mark had mentioned earlier, really being strong into the second half of the year.
Mark Hoplamazian: There are two things that I would just add to that in terms of the ALG second half. Last year, we reported in our third quarter earnings call, how extraordinary September turned out to be because, typically there's a break point after Labor Day, where you see a significant falloff in business, we saw none of that last year. It was completely sustained through the end of the quarter. We do expect as Joan described the normalization of that seasonality and a drop off after Labor Day for ALG. And then the second point that I would make is that we had onetime credits that were released from -- travel credits that were released last year, $4 million in the third quarter and $24 million or $25 million in the fourth quarter. So, those are -- if you just look at year-over-year comparisons and don't adjust for that, it will appear that we are down more significantly. But sequentially, I think that we'll see a third quarter that is under more pressured by virtue of the normalization of seasonality and a fourth quarter that is really more of our -- sorry to borrow a term from the cruise business, but the wave period where we're booking into the first quarter of the following year and actualized demand is really concentrated around holiday periods at the very end of the year.
Joseph Greff: Thank you.
Operator: Our next question comes from Patrick Scholes from Truist Securities. Please go ahead. Your line is open.
Patrick Scholes: Hi, good morning everyone. On your guidance, it looks like you took the midpoint of RevPAR up a bit, but kept the EBITDA guidance range unchanged. Anything to read into that? Any higher cost expectations that might not completely have that RevPAR flow through? That's my first question. Thanks.
Joan Bottarini: Sure, Patrick. I'll start with the RevPAR guidance. So, our confidence in moving that range and tightening the midpoint of that range is driven by the fact that we have achieved in the first half of the year 26.5% RevPAR growth. So we had mentioned when we had provided guidance on the first quarter that we thought we'd be in the mid-20s. So we're right there a little bit higher. And as we look at the second half of the year, we still expect to be in the mid to upper single digits for RevPAR growth in the second half of the year. So, that confidence is coming from the increased group that I just mentioned and also the sustained leisure travel we're seeing and some building momentum on the business transient side. So for the EBITDA guidance that we reaffirmed, I would say -- the one thing that's impacting the lack of raising that is the FX headwinds that we're seeing in the Mexican peso that I mentioned in my prepared remarks. So, that's one area that is impacting us relative to expectations that puts us really in line with what we said previously and we feel good about the range.
Mark Hoplamazian: The other thing I would note is that, we did increase our integration expense estimate for the year by $5 million. That is entirely associated with Mr. & Mrs. Smith acquisition. So that's also taken into account in providing the guidance.
Patrick Scholes: Okay. Thank you. And then follow-up question. Mark you had touched briefly on the financing environment. I wonder, if you could just give us your latest thoughts on that as it relates to different geographic regions? And also, especially as it relates to your average new franchisee, typically under $50 million of borrowing your latest thoughts around that? Thank you.
Mark Hoplamazian: Yes. Look, I think the first half of the year, first quarter especially was disrupted in the local and regional bank market by virtue of some of the failures that we saw right off of that in the first quarter and that did have some ripple effect. But honestly, our first Hyatt Studios is expected to break ground in the next 60 days. And we see starts for other mostly start service hotels that are newbuilds in the United States and virtually all of that capital is coming from local banks. So in terms of sourcing the money center banks are basically out of the market still. Pricing is relatively high if you compare it to historic -- well I should be careful. If you compare it to the last five to six years it's significantly higher. Gone are the days of free money. But if you look at it over a very long period of time it's actually not that far off maybe a couple of hundred basis points in real terms higher than you would see on long-term averages. So if you look at SOFR levels people are borrowing at 7% 8% maybe 8% or 9% depending on the situation. The borrowing rates advance rates are reasonable in Europe and the borrowing rates have reached between 4% and 5% closer to 4%. But in the United States there's no question it's affecting new starts. People are still trying to structure deals in which they have short-term commitments that they think that they can refinance at lower rates in the future. The good news is local banks are still there for the best developers. And so we do see capital formation. The biggest change in our under construction the proportion of our pipeline that's under construction has been openings. So we've opened a lot of the rooms that were under construction and they're not getting refilled at the same rate that they were before and that is almost entirely in the programmatic upscale and upper mid-scale areas.
Patrick Scholes: Okay. That’s great color. Thank you 
Operator: Next question comes from Duane Pfennigwerth from Evercore ISI. Please go ahead. Your line is open.
Duane Pfennigwerth: Hey, thanks. As you think about your expectation for September normalizing how much visibility do you typically have into that at this point in early August. So as we sit here in early August of last year did you know that September was going to be sort of way off the charts, or is there a chance to maybe close in tracks a little bit better than you expect? 
Mark Hoplamazian: Yes we actually have reasonably good visibility in relation to ALG. There's been a dichotomy between US resorts and the and our all-inclusive resorts in Mexico and the Caribbean. The US resorts have underperformed our all-inclusive hotels. And the all-inclusive hotels have a longer booking window. So we have a better handle on that now with a significant measure of our business from the third quarter already on the books. So we have a pretty good handle on the profile. There's another dynamic that I'll just mention in passing and that is the Cancun dynamic I'll call it US employments or visitation to Cancun and Riviera Maya have come down. They're actually negative year-over-year. And that's that has been picked up in two three other ways. First we've seen a 19% increase sorry a 16% increase in the Dominican Republic that's visitation to the Dominican Republic and an 11% increase to Jamaica. But we've also seen a 600-basis point increase in US outbound travel to Europe. So our hotels in Europe now have a 27% guest composition from the US, up from 21% last year. So we're seeing Americans broaden where they're going. Cancun was the place to go for 2021 and '22. It was considered to be convenient of tremendous variety great value for money and wonderful in what you can do the experiences you can have. I think people are now evolving and they're evolving to some other markets. The good news is with respect to our inclusive hotels we cover Jamaica Dominican Republic the West Coast of Mexico. And Europe has been on fire across the board. Europe has been leading both business transient and leisure for the last couple of quarters, so we continue to have a very positive outlook with respect to that. But back to your specific question about September we have reasonable visibility to it. There are last minute bookings and I think we had a higher proportion of that in 2022 than we expected. So, we were pleasantly surprised by just how strong the within four-week bookings turned out to be for the second half of September just absolutely stunning occupancies and rate realizations there. But right now we have pretty good visibility on the third quarter. 
Duane Pfennigwerth: Thanks. That's helpful. And then just a quick reminder for my follow-up. What is a point-of-sale US for ALG? 
Mark Hoplamazian: It's a majority of the total occupancy. I don't have a specific number for you.
Duane Pfennigwerth: Okay. Thank you.
Mark Hoplamazian: The remainder would be Canadian and European. Canadian this year has actually increased significantly. One of the biggest I'm sorry -- about 70% is US sourced. Canada has increased in the second quarter. That's been one of the biggest alternative markets that filled in some decline in US sourced travelers into Cancun especially and Europe is the remainder. But honestly right now we're seeing a higher incidence of European staying in Europe for their holidays still increased year-over-year significantly increased year-over-year employments into Cancun airport from Europe. But in our hotels at least we're seeing significant incidence of European staying in market. 
Duane Pfennigwerth: Thank you.
Operator: Our next question comes from Chad Beynon from Macquarie. Please go ahead, your line is open. 
Chad Beynon: Morning. Thanks for taking my question. I wanted to ask about China or I guess Asia just in general. I know pre-pandemic food and beverage was a huge component of that market and the fees that you would derive from that portfolio. Mark you talked about China kind of being back to pre-pandemic levels without the international inbound. Wondering if you could talk about that food and beverage component if that has come back. And then secondly on the international the inbound into China side what do you think the big catalyst or when do you think we'll start to see that business come in? Thanks.
Mark Hoplamazian: Yes. So, it's interesting. We've seen an evolution of food and beverage demand over the last year and a half. Food and beverage actually led our revenue composition in 2021 and 2022 because staycations were really the only thing that many people could do during lockdowns. And then during the worst parts of 2022 people didn't do that anymore because they weren't even allowed to leave their apartments in major cities that is. In this year, we've seen improvements across the board across the entire week. So, business transient is actually about flat to 2019 levels. Group is fully recovered and then some and leisure transient is up. Having said that the international inbound still remains depressed or lower than 2019. It's about 40% lower than 2019. I think it was actually like 41% or something like that in the second quarter. But that's an improvement from the first quarter. And those inbound international clients are a key driver of outlet sales that is restaurant and bar and club sales entertainment venues. And so overall F&B revenues in total are slightly down relative to 2019 even as rooms are basically fully recovered. And that's really -- it's a customer mix issue that's driving that at this point. 
Joan Bottarini: Yes. And I would just add that about 30% of our business in 2019 was coming from international. So that being down 40% in the second quarter and the progression that you described Mark it was 60% in the first quarter. So there's a significant upside there. And in the quarter our fees doubled over last year. So when you think about the runway with respect to that international inbound coming from flight capacities it's a big tailwind for us going into the future. 
Mark Hoplamazian: Yes. And the outlook for flight capacity is actually quite good. And there's a lot of talk about like what the health of the consumer is. And what's super interesting is that retail sales are up about 7% and foodservice sales restaurants and nightlife double-digit growth in the first half of 2023. The stuff that's a little bit lagging is clothing apparel and durable goods. I would only add that one thing that we are keeping very close tabs on is the real estate the residential real estate activity which has seen a significant decline in activity over the last quarter. That matters in terms of how people think about their net worth. Having said that consistently all of the surveys that have been done and our engagement with our members tells us that in fact 68% of the respondents. So they plan to splurge on themselves and travel and restaurants are at the top of the list and have consistently been at the top of the list over the last year. So we see a prioritization of travel and entertainment call that F&B and entertainment, despite the fact that there are some potential headwinds with respect to the residential real estate market in China.
Chad Beynon: Great. Thanks. And then a quick follow-up. Could you just remind us your mix of business transient between large corporates and SMEs?
Mark Hoplamazian: It's a majority of large corporates. My guess is that it's about a 60-40 split between large corporate and SME. Large corporate, I would say, it's really a tale of many different dynamics. So if you look by segment, banking has been the one that's been off the most and that had to do mostly with the shock of the bank failures in the first quarter that had a carryover. Not every single one of our bank clients is down. In fact our largest single bank and financial institution customer is up. But the overall sector is down, manufacturing is looking slightly better. Professional services, expecting continued significant travel volumes, so consultancy and the like. Same with professional -- sorry, same with tech. Actually tech is looking at increases. The layoff impact has moderated. So we think that's behind us and the meeting planners and travel managers for tech are suggesting that they're going to see an increase over the remainder of the year and pharma about flat. The only other thing I would note is that corporate -- in terms of the mix of corporate and association on the group side, corporate in terms of our bookings is looking like 42% corporate and 32% association. This is full pattern bookings in the second quarter, which were a record -- not quite a record but the second highest since the first quarter of 2019 at $500 million. So we're still weighted towards corporate and we're seeing sustained corporate demand on the group side. So really, really encouraged to see that and think that that's going to persist in the foreseeable future. Now, if you look into future years, about a third of the total full pattern bookings that were made in the second quarter, about 34% was in the year -- for the year, 66% was into future years. Half of that 66% was into 2024 and then the remainder was into the plus two, plus three and plus four plus year periods. So what we're seeing is and we still have some reasonable patterns left to book in 2023 second half, and although they're dwindling and 2024 and that's creating a lot of back pressure for associations. So we're going to see -- we predict that we will see an increase in the proportion of association bookings through the second half of this year, because they really need to secure their dates.
Chad Beynon: Thank you very much. Appreciate the color.
Operator: And comes from Stephen Grambling from Morgan Stanley. Please go ahead. Your line is open.
Stephen Grambling: Just wanted to stick with ALG a little bit. Specifically within the distribution and Destination Management business what is the sensitivity of this segment to things like revenue per departure versus departures. Should we see a pullback in leisure spending expand? And is there any impact from completing the integration of the broader ALG business with Hyatt that could also impact this segment? 
Mark Hoplamazian: Yes. I mean vacations is going gangbusters. Departures were about flat to last year. That's the result of the normalization of seasonality but we had unit net revenue growth of 10% because pricing is really strong and our mix is very weighted towards 5-Star versus 4-Star. In fact, I did mention the Cancun dynamics versus cascading into other markets. The one thing that remains true in the Cancun Riviera Maya market is that 5-Star hotels are outperforming 4-Star hotels by 10 points. So even though employments and arrivals from U.S. customers, which are the highest-rated customers is dropping because they're cascading into other markets that is not true with respect to 5-Star hotels. So our experience is going to look a bit different than the overall segment AI segment in Cancun at large. The average unit price on the books for the second half for ALGV bookings is up 5%. And so we have more destinations on sale because we've added inventory that we're selling through the platform. But pricing is maintaining. And concurrently the one other thing I did not mention is that the package prices are actually moderating by virtue of airfare coming down in some cases quite significantly because a lot of capacity got added into Cancun you can't snap your fingers and change your segments and your system. And so airlines have dropped rates into Cancun to try to induce demand. That's helped to sustain some demand but it's also made the overall pricing capability of the hotel sector solid. With respect to Unlimited Vacation Club membership is up 10% year-over-year and about 25% of the contracts signed have been from existing members upgrading to higher tiers and that's reflected in the higher price per contract, which is up 6%. So we're really encouraged by what we're seeing. And by the way, if you remember from Investor Day we did this magnificent. I liked it because I'm in the math but the regression analysis was a perfect fit between member growth and size of system growth. And we have just in this past quarter added another data point to tighten that curve even further. Although there's not much tightening left it was a 99% R-squared. Finally margins. Margins last year in the ALGV, ALG vacations business were stratospheric. First of all, by way of reminder this business before we bought ALG was running in the low single-digit margin level. Last year, we were breaking through to mid-20s. And so we said that we thought a more normalized level would be sort of in the 15% to 18% range. And that's exactly we expect to end the year in the range of probably in the higher end of that range for this business. So our expectations, the business is performing exactly as we expected it to. I think it's more resilient actually than I might have thought as there were so many shifts and the reason is because they're super agile. And they can cascade really quickly. So anyway, as between those two businesses nothing but good news. There is some higher direct expenses in UVC due to first about 37% of their total expense base is in pesos. So we had some FX headwinds. And secondly, we did have more promotional activity in the second quarter heading into the third and fourth for UVC members. And finally, we had a higher level of free nights that are part of the packages actually realized in the second quarter for which we made payment. So those are the few factors that affected direct expenses but that's leaving the FX aside that's not a run rate issue for us. So we feel really good about both of these businesses. 
Operator: Our last question will come from Shaun Kelley from Bank of America. Please go ahead. Your line is open. 
Shaun Kelley: Hi. Good morning, everyone. Thanks for taking my question. So Mark one high-level one and then, kind of, wanted to probably beat the dead horse on ALG a little bit. But so on the high level just wanted to, kind of, get your thoughts on some other companies out there provide a little bit of color on 2024 expectations for net unit growth. And you've obviously given lot of detail just coming out of the Analyst Day. So my question is just, kind of, how do you feel about that at this point in time? And just can you remind us of some of the your pros and cons to that build as it relates to things like conversions, Hyatt Studios launch? Just anything that would -- any movement or any things that have, sort of, kind of updated your thinking as it would relate to kind of how you're expecting '24 to look like? I know you've already addressed the financing environment. You don't need to hit that twice. 
Mark Hoplamazian: Okay. Thanks. So for everyone's edification what we said at Investor Day is that we saw a 6% to 7% compounding net rooms growth into the future. And we feel really, really good about that. Excellent. I mean, first of all, yes, we've seen openings of a number of hotels that were under construction and then new starts have slowed down. So that is a bit of headwind. Based on our dialogue with a bunch of developers for whom we're moving from LOIs to signed contracts for Hyatt Studios, we see a very high incidence of developers moving to construction pretty quickly. We're going to open our first Hyatt Studios before the end of next year. And so we really feel great about the fact that we're finding that really good developers are great partners are actually finding access to capital. But it is also true that we just continue to find more and more conversion opportunities. And we see it coming from many different sources. One significant dynamic that's underway right now is that a number of portfolios of hotels many of which are self-managed are owned by families and a lot of European families some Mexican families and there have been generational changes either because of the prior generation dying and leaving the business to their kids or a change in circumstance in terms of the family holding. And those are opening up significant opportunities because they are relatively larger. It usually involve multiple properties. And in most cases we've been able to unlock ways in which we can uniquely structure how we assist these families to achieve their goals. In many cases they want to continue to hold the real estate. So we are signing up management relationships for a number of hotels. The incidence of that is increased. And so we're getting more and more confident that we've got a pipeline on to itself that will continue to provide a baseline against which we then will see a recovery in new starts as the capital markets start to normalize over the course of the coming year. So I would say extremely confident in short. 
Shaun Kelley: Really helpful. Thank you. And then the follow-up and again, I really apologize, if we've kind of covered this in a way that I didn't totally detect. But just as it relates to ALG and the outlook there and this is specifically on the package RevPAR side I believe in the quarter package RevPAR was up something like 9.5%. And I think you said that pace and I'm not sure if this was for the second half but I think you said second half pace was up 8%. So I kind of wanted to both validate are those apples-to-apples? And is that kind of decel the sort of what's embedded in the outlook, or are you embedding a more dramatic deceleration, specifically on the packaged RevPAR side just given again some of the seasonal normalization. And again I know you've talked about that a lot.
Mark Hoplamazian: It is apples-to-apples. The 8% is on the books business. So it doesn't include tentatives and stuff like that. That's not the way we provide data. And rates are higher in the second half. And yes, it is one of the drivers of our outlook with respect to continued normalization over the back half of the year. And just in the vein of completeness, I just want to remind everybody that we did have $30 million of release of travel credits and $4 million in the third quarter and $24 million or $25 million in the fourth quarter. So you have to take that out as a means of doing a comparison. But I would say, we are diving in deeply right now on how we go to market and how we're organized with respect to commercial services in ALG. We kicked off a pretty comprehensive review of that. And I do think that that will yield benefits over the course of the remainder of the year but they'll be most realized next year. By the way everything I'm talking about including – so the other thing I don't think came up is that we had $4 million of investments in a specific technology platform capacity for ALGV and Trisept in the second quarter, which are not recurring. So we said that we were going to be investing further behind the platform. We have and we will continue those investments into the year. 100% of what I just covered is included in our full year guidance and outlook.
Operator: This concludes today's conference call. Thank you for participating and have a wonderful day. You may now disconnect.